Operator: Welcome to the Third Quarter 2015 Cedar Reality Trust Earnings Conference Call. As a reminder, this conference is being recorded. At this time, all audience lines have been placed on mute. We will conduct a question-and-answer session following the formal presentation. And I will now turn the call over to Nicholas Partenza. Please proceed.
Nicholas Partenza: Good evening and thank you for joining us for the third quarter 2015 Cedar Reality Trust earnings conference call. Participating in today's call will be Bruce Schanzer, Chief Executive Officer; Philip Mays, Chief Financial Officer; and Nancy Mozzachio, Chief Operating Officer. Before we begin, please be aware that statements made during the call that are not historical may be deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the Company's most recent Form 10-K for the year ended 2014 as updated by our subsequently filed quarterly reports on Form 10-Q and other periodic filings with the SEC. As a reminder, the forward-looking statements speak only of as of the date of this call November 5, 2015 and the Company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Cedar's earnings press release and supplemental financial information posted on its website for reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that I will now turn the call over to Bruce Schanzer.
Bruce Schanzer: Thanks, Nick. Good evening, and welcome to the third quarter 2015 earnings call for Cedar Realty Trust. This call marks the fourth anniversary of the introduction of the new Cedar, which was rolled out on our third quarter 2011 earnings call. Since that seminal event, we have generated among the highest total shareholder returns of any shopping center REIT. This strong performance over the past four years is a credit to all of the members of team Cedar, each of whom has committed her or himself to everyday excellence. This is especially true of our senior management team, who all are with me this evening, Phil Mays, our CFO; Nancy Mozzachio, our COO; Michael Winters, our CIO; Charles Burkert, our Head of Construction; Lori Manzo, our Head of Leasing; and Adina Storch, our General Counsel. On my first day at Cedar in June of 2011, I gave a presentation to my new colleagues. I showed them a slide that ranked all the shopping center REITs by total shareholder return since 2003, the year of Cedar's IPO. Cedar was among the worst performing shopping center REITs by that measure. I then showed them a slide with the Major League Baseball standings. The Mets, my favorite baseball team were similarly situated towards the bottom of the National League rankings. I showed these two sets of rankings to make the following point. The Mets, they were at the bottom of the standings for a Major League team. They were expected to compete with other teams that might have had larger payrolls or better players. The team's fans, myself included, rightfully expected that the players and management of the Mets would dedicate themselves to improving the team in order to better their performance and hopefully climb up the rankings. Cedar's situation was very similar. I said to my new colleagues, Cedar is playing in the major leagues of shopping center REITs. We might be among the smaller RETIs, but our shareholders rightfully measure our performance against all of our shopping center REIT peers. It is not an acceptable excuse that they are bigger or have longer operating histories. We have to commit ourselves every day to climbing the rankings in order to eventually be counted among the best shopping center REITs. Of course this was an audacious statement to make on the very first day at this new Company. Looking back, over four years later, I'm very proud of what Team Cedar has done. Although a season in the real estate business is much longer than the April to October baseball season, much like the Mets who are now among the best teams in baseball, I see Cedar charting a similar course in the major leagues of shopping center REITs as evidenced by our strong performance over this four-year period. Like the Mets, however, we still have not fulfilled our potential, which in the case of Cedar means continuing to address the ongoing disconnect between our share price and our net asset value. Our game plan for achieving our long-term objective of eventually being considered among the best shopping center REITs is to execute our five-part strategy that begins with a focus on grocery-anchored shopping centers between Washington DC and Boston. We maximize the value of our assets through leasing and operations. We grow value through redevelopment and value-add investing. We actively manage our portfolio by migrating capital into higher value submarkets within our geographic footprint. And we endeavor to manage our balance sheet to minimize leverage while growing our earnings and maximizing our investment flexibility. Nancy will touch on some of what we're doing on the leasing and redevelopment fronts, while Phil will discuss our earnings and balance sheet. Before they do so, I would like to take a few moments to give you a sense of what we're doing at a slightly higher level in terms of both leasing and redevelopment as well as review some of our capital migration progress. Leasing results this quarter were solid with leased occupancy up slightly year-over-year and same-store cash NOI, including redevelopments coming in at 3.1%. There will be some pressure on our leasing results as we look into 2016 in terms of a few large shop vacancies that we anticipate. I will let Nancy discuss in more detail our efforts to re-tenant those spaces with upgraded tenancies, at what we hope will be meaningfully improved rents. On the redevelopment front, we continue to make progress in advancing both our larger and smaller redevelopment projects. As previously described, we have a significant pipeline of smaller scale projects such as the addition of outparcels and minor center reconfigurations that typically cost $5 million or less, as well as two contemplated larger scale redevelopments that are coming together well. 2016, we hope to be in a position to discuss at least one, if not both of these projects with greater specificity. During our second quarter 2015 call, we discussed our acquisition strategy through year-end and how we have modified our posture towards the timing of divestitures to fund the new acquisitions. I am pleased to report that since our last call, we have placed two high-quality assets under contract that aggregate roughly $60 million. So our total for 2015 of assets acquired or placed under contract will exceed at least $110 million, though the transactions might not close until early next year. Those assets are in desirable Washington DC submarket and one in particular had substantial redevelopment potential, which makes it especially compelling. I look forward to describing these centers in greater detail after we have closed, which we expect to be before our fourth quarter earnings call. Notably, we have adjusted the timing of our dispositions relative to our acquisitions in order to reduce our exposure to potential rate changes that could impact relative asset pricing. In the past we have closed on acquisitions using our line of credit and then subsequently paid down the line with the proceeds of asset sales. This round trip has generally taken anywhere from six months to nine months. With the prevailing uncertainty around interest rates and the likelihood of an increase in the coming months, we decided to bring our dispositions to market concurrently with finalizing the acquisitions I just mentioned and while we continue to underwrite certain additional purchases in order to ensure that our cost of capital is ascertained. Accordingly, there is a possibility we will find ourselves in early 2016 in a net short position whereby the proceeds of our divestitures will have exceeded the capital required to fund our closed acquisitions and we'll be sitting on cash until it is deployed. Although this is a high-class problem to have, serving to both de-risk our balance sheet and enhance our investment strategy over the medium to long term, it might weigh on our near-term earnings while we identify and close on additional acquisitions that fit with Cedar's long-term strategic objectives. In closing, I will avoid any further baseball metaphors in handing the call up to Nancy other than to comment that she represents one of the aces in the Cedar management team bullpen. With that, I give you Nancy.
Nancy Mozzachio: Thank you, Bruce. Leasing and operating results for the third quarter evidenced strong, new and renewal activity from the leasing team and solid expense control from the operating team. We began the year with a particular focus on rent growth and operating efficiencies. And while the year is not yet complete, these efforts help push same-property NOI growth to 3.1% for the quarter. New lease activity for the quarter yielded 38,600 square feet as compared to 26,800 square feet in the third quarter of 2014, representing a 40% jump in activity as compared to the same quarter of last year. Our portfolio ABR or average base rent is now over $13 per square foot. Notably, a renewed lease Cedar entered into in the third quarter of 2015 contained escalators with over 70% of that number containing annual escalators. Renewal activity was solid, with 20 transactions, representing approximately 115,000 square feet at approximately 9% cash spread. Over 50% of these renewals, including options, contained escalators, of which over 45% included annual escalators. Leased occupancy rose quarter-over-quarter by 10 basis points and 20 basis points year-over-year. Ramping up the quarter, the spread between physical and leased is now approximately 120 basis points, representing about $1.3 million in incremental annual base rent on a cash basis. This spread is largely driven by one of the two Home Goods deals we completed earlier in the year. We have since delivered this space the Home Goods. Notably, Home Goods in both Colonial Commons and Trexler Mall recently opened and are reportedly experiencing high sales volume. While the leasing team is making good progress, it is important to note that certain lease expirations occurring in the fourth quarter of this year will cause us to take back up to four sizable boxes, introducing approximately 200,000 square feet of new vacancy. These four boxes individually and collectively contain tenants paying below market rents with the weighted average of $7.50 per square foot. Therefore, if we're able to re-tenant at prevailing market rents, this could yield meaningful rent spread in the latter half of 2016 and beyond. We have identified a number of tenants for these bases and are working through LOIs, which if completed will likely contribute to revenue in the second half of next year. On the redevelopment front, we are happy to announce we delivered spaces to tenants in the third quarter within our Trexlertown pad project building is now 70% leased. We expect these tenants to begin paying rents in the first quarter of 2016. Capital spend is approximately $2.3 million and once fully leased, we expect to achieve a 13% return on investment. We are also under construction in Pottstown, Pennsylvania at our Upland Square pad project, which will contain [indiscernible] and we anticipate a major coffee retailer. Once completed in the second quarter of 2016, we expect capital spend to be approximately $1.5 million and achieve a 14% return on the investment. Subsequent to quarter end, we signed a lease with Alby supermarket at our center in Groton, Connecticut. Alby plans to open in the fourth quarter of 2016 and we expect to lease and renew small shop space around Alby at positive rent spreads. We expect capital spend to be approximately $3 million. The projected yield on this project is expected to be approximately a 9% return on investment. We continue to explore the portfolio for inherent value creation opportunities in small redevelopments such as Groton and pad development opportunities such as Trexlertown and Upland and are actively navigating through the process of gearing upward this significant redevelopment for Cedar. Once these projects ripen, we will proudly announce our plan, including capital spend, timing, tenancies and projected returns. One final note, subsequent to the close of the quarter, Walgreens announced the acquisition of Rite Aid. Cedar has eight locations representing three banners within the portfolio. These banners represent a combined total base rent of 1.8% of the portfolio. Through our asset management team, we will closely monitor the situation, however, we feel this could be a positive event for Cedar, both from a credit upgrade perspective and re-tenanting opportunity. With that I give you Phil.
Phil Mays: Thanks, Nancy. On this call, I will discuss our third quarter operating results and provide updates on our balance sheet and earnings guidance. We are pleased with our operating results for this quarter. Same-property NOI increased 3.1% including redevelopment and 2.2% excluding redevelopment. Operating FFO was in line with our expectations at $0.14 per diluted share. However, as I've noted in the past, operating results only tell a portion of the progress we are achieving at Cedar. You also have to consider our portfolio and balance sheet improvements. Since the beginning of 2014, we have recycled almost $150 million of capital. As Bruce noted, we expect to complete another $50 million in the near term. This capital migration process of selling profits from our lower quartile and buying any higher quality properties that are in our top quartile initially weighs on operating results. However, we do expect the higher quality of properties we are acquiring to improve and sustain same-property NOI growth over the long term. Additionally, we ended the quarter with net debt to EBITDA of 7 times, interest coverage of 3.5 times and fixed charge coverage of 2 times. This is the lowest debt to EBITDA and the highest coverage ratios we have reported since introducing the new Cedar four years ago. Further, we currently have almost $200 million available on our revolving credit facility, no debt maturities until the latter half of 2016, and have now unencumbered approximately 70% of our portfolio NOI. And lastly guidance. We are raising the low end of our full year 2015 operating FFO guidance to an updated range of $0.53 to $0.54 per diluted share. Consistent with the past, we will provide initial 2016 earnings guidance on our fourth quarter call. On that call, we will also provide more information about our ongoing acquisition and disposition activities. With that I will open the call for questions.
Operator: [Operator Instructions] Our first question is from RJ Milligan from W. D. Baird.
RJ Milligan: Question on the vacancies, the larger vacancies that you're expecting in the fourth quarter, can you give any more color as to what type of tenants they are and why you think they're not renewing their lease?
Nancy Mozzachio: Hi RJ, it's Nancy. So just to give you an idea of the four that we mentioned. So one in particular is in our Trexlertown Plaza project is the Redner's supermarket. It's an asset where we actually took Giant from the neighboring Trexler Mall project and built them a new store very successful store, use that – obviously it was unconventional to have two grocery stores in same center. So we always plan to take that space back and re-tenant. So the LOIs that we have in place today are actually representative of two tenants that work well within the tenant mix. Three years or so ago we actually put a Hobby Lobby into the space, so they work well with that tenancy. So that's one. The second is in Dubois, Pennsylvania, Shop 'N Save, it's a very weak franchise operator of a super value concept, very limited market depth in that particular area and we have a tenant who is already in the market, who is looking to expand and grow their very solid sales. So that's what we expect to occupy that particular unit. The third is in Webster, Massachusetts. It's a Price Chopper Supermarket. Price Chopper had an old store, what we're doing there is likely splitting up the space into three spaces. One will most likely be a small format grocer within that particular demographic and the other is a retailer with whom we've done a number of deals over the last couple of years. The last is center in Long Island, Carman's Plaza that has Pathmark, obviously it was part of the A&P bankruptcy and we – this is a particular positive event for us to see it is an opportunity to take what we believe is a marginally successful grocery store from when we purchased it and put in a higher volume operator and then tenants – retenant around it, also provides us with an opportunity to gain some flexibility in lease terms with we think certain restrictions that may have been under the Pathmark REIT.
RJ Milligan: And Bruce, I was just wondering if you could talk about some of your peers over this earning season have talked about accelerating dispositions, given the fact that there's a pretty good appetite out there for some of their assets that they consider as lower growth. And I'm just curious how you weigh increasing dispositions versus the FFO dilution that you would take?
Phil Mays: So RJ, we're pretty much sticking to our knitting in terms of what our plan is with a slight short bias, which might be a little bit consistent with how some other shopping center REITs are approaching it. Broadly speaking, the way we think about our capital migration strategy is that we buy assets and we sell assets to pay for those assets that we buy. Obviously it's not possible to perfectly match some things, but we've had a lot of success getting it pretty darn close. In the current market environment, recognizing that things are pretty well priced, but also acknowledging that it's impossible to call the top. What we have done is started selling assets, as I mentioned, closer to the time when we've determined that there is an asset that we're going to buy. So in the instance of the two assets that we're acquiring in DC, as we felt pretty sure that we are going to be finalizing those deals, we started preparing to divest two assets, the value of those two assets will exceed the value of the two assets that we have under contract. So in that regard the result will be similar to what some of the other REITs are doing, the mindset might be a little bit different. The reason why we decided to sell assets and close proximity to the buyers is more just because in today's interest rate environment recognizing that there is a decent likelihood rates are going to go up, it could create some volatility in the cap rate environment. And as you know, we try to be pretty careful in match funding from a cost of capital perspective until we wanted to be sure or at least be more certain that the cost of capital, so to speak, or the cap rate that we were able to attain on our divestitures would be known as we finalize our purchases. So that was our rationale. Again, the outcome will be similar to what other REITs are doing, but I'm reluctant to call a market top. I don't think that timing the market is a particularly good strategy. And so we're trying to be relatively neutral and just match funding our acquisitions with dispositions.
Operator: Our next question is from Collin Mings from Raymond James & Associates.
Collin Mings: I guess just first following up on one of RJ's questions, just I guess for Nancy. Going back to some of the vacant boxes or the vacancy that's going to come on next year, what do you think is the spread right now between kind of what the current rents are to market rent, I think you touched on that they're pretty far below market?
Nancy Mozzachio: I'd say, again appreciate that they're in varying market. And we did put a weighted rent together when we prepared the remarks. I would say it's probably likely to be, I'd say 20%, typically higher than what we're currently talking about and that's being [indiscernible]. In breaking up boxes of course, you have in some instances, the smaller the box, the higher the per square foot amount, we have Atlanta that we'll be looking at and that's [indiscernible] first year.
Collin Mings: And then, Bruce, maybe just talk a little bit more about the kind of the acquisition pipeline. I think last quarter you've highlighted there was about 10 to 15 assets that you are conducting some level of liabilities on, looks like a couple of those are now moving forward. But just talk a little bit more about that pipeline in general and has that maybe taken a little bit longer than you expected to start the year for some of these deals to materialize?
Bruce Schanzer: Sure, Collin. So just to give you a feel for – I think one of the things that makes what we're doing at Cedar special is something that I often describe as operating alpha, which is really the idea that because we're a platform that's relatively small, that's focused on a single asset type that is grocery-anchored shopping centers, that's focused on a relatively narrow geography, what you might call the New York megalopolis or the DC to Boston corridor and managed by a team that has decades of experience. We're able to achieve outcomes that maybe other people wouldn't, so I'll highlight for example, Mike Winters. Mike's been our Chief Investment Officer. He's been doing exactly that. So closing a grocery-anchored shopping centers, buying them for 30 years, he literally knows every single asset, every single owner, every single broker in our footprint and because of that we're able to source deals off market that other people simply never know are available. And also he has developed a great reputation in the market and that [indiscernible] to our benefit. He has been here for well over a decade and so people are comfortable transacting with us. A corollary to that is that because they're comfortable transacting with us, they give us a little bit of leeway from – in terms of our performing due diligence and so a lot of times we'll be able to perform due diligence for longer than the typical of 60-day due diligence period because they're comfortable that we're just trying to net the sellers that are comfortable that we are trying to nail things down, but they were not looking to retrade them. And so that balance get struck when you have a good reputation and when you have a relationship with sellers that goes back many, many years. So because of that the processes that we undertake take quite a bit longer than your typical marketed process with a relatively tight timeframe and things are just taking longer than one might expect. But we seem to be ending up as a good place in terms of finalizing the deals that make sense, passing on the deals that don't make sense and I would expect that to continue and I hope that it does well into the future.
Collin Mings: I guess just maybe as you niggle up the pipeline right now, is it – would you say that expanded or has it shrunk a little bit, maybe relative to again three months to six months ago?
Bruce Schanzer: I would say the number of assets is probably similar, the composition of the pipeline is different because we actively underwrite deals and there are a lot of deals that we just decide not to do and then there are other deals that come over the transom that we start underwriting. And so at any given time, we're probably looking at between 10, 15 deals, and we're working on them in some form or fashion and so that the number of deals is probably the same, what those – the composition, which deals are on that list changes. And then in terms of a quantum, I think the idea of us being able to do at least $100 million a year feels like a good guidepost, but some of the deals we look at are quite a bit larger, in which case, obviously the number would be bigger. But I would tell you that I'd be surprised if we couldn't do at least $100 million a year of off-market acquisitions.
Collin Mings: Just on the assets in the DC submarket, too early to kind of give us any sort of color on what type of cap rate we might be looking for on those?
Bruce Schanzer: Why don't we hold off on that. Again, we're very disciplined in our underwriting. So we're not just aggressively buying assets that are very richly priced. So we think we've done a good job of underwriting these deals and we will be very happy to talk about them when they close, but I'm reluctant to do so before we close on them.
Collin Mings: And then one other kind of bigger picture question as it relates to the pipeline for me is just that you mentioned one of the assets that you're moving forward with is more of a redevelopment opportunity. Just as you think about what's going through your pipeline right now, what would be the mix of assets where you've seen kind of – as you characterize it more of redevelopment opportunity?
Bruce Schanzer: What I would tell you, Collin is that we're very careful about not being too long redevelopment at any given time. I think our thought process is that we wanted to be a relatively conservative proportion of our overall asset base. And so the way redevelopment work is that it takes a long time to get them teed up to the point where it actually spending meaningful dollars and that's certainly our plan. Assets like the ones that we're acquiring in DC is the kind of asset that again has a fair amount of redevelopment potential, it's probably not something that we're going to get out right away, but it's something we'll start working on right away and I expect that it will probably come together at a time where it makes sense in conjunction with the other redevelopments that we're doing.
Collin Mings: So it sounds like most of the redevelopment opportunities that you will be targeting will be kind of more just within your existing portfolio versus going after on the acquisition front finding kind of redevelopment projects, if you will?
Bruce Schanzer: I understand your question. No, we don't necessarily look for redevelopment opportunities, we look more for value-add opportunities, but they're not always of a large scale REIT – not a large scale redevelopments. Again we underwrite our assets by looking at the risk adjusted return and we think about our returns on an unlevered IRR basis. So there are any number of ways to get there, but certainly one of the ways to get there is by seeing the potential for value-add investing in an asset, and that's the case with one of the deals we're looking at in DC.
Collin Mings: And just one last big picture question for me, just given some of the tenant bankruptcies and some of the headlines that come through this earnings season, just if you guys could touch on your tenant watch list heading as you progress through the fourth quarter here?
Nancy Mozzachio: Hi it's Nancy. I'd say from a tenant watch list perspective, it hasn't really changed dramatically. We had a few – of course we had the RadioShack situation, but we actually gained quite a bit of the concentration backlist replacement operators in that transaction. We had a couple singles, like [indiscernible] for example. We had a Simply Fashion, and then of course A&P. So for us the watch list is manageable and something we do on a daily basis, quite frankly. But I wouldn't say that there's been a blow, if you will, of tenants making their way into the tenant watch list.
Operator: Our next question is from Todd Thomas from KeyBanc Capital Markets.
Todd Thomas: Just back to the four boxes, the 200,000 square feet. Just curious how much capital you think you might have to spend to get through that process to re-tenant them and how much downtime do you think is reasonable to assume? Are you anticipating that they get back-filled with tenants in place during 2016 or should we assume that they're essentially vacant for the year?
Nancy Mozzachio: Yes. I think it's fair to say – when there are sizable boxes, they never turn around quickly. I think it's unfair for us to say that it could be a six-month process. I think it probably is more likely given what we know in front of us today and the deals that we're negotiating and the down time [indiscernible] more like a latter part of 2016 I think is fair. As far as capital spend, as always going to place a per square foot number on each of the boxes that might be $40 per square foot would probably be a good number for us to use if and what we have the front box, and the LOIs and what tenants may look for.
Todd Thomas: It sounds like the disposition proceeds will exceed the $60 million purchase price for the two properties under contract. I guess can you just give us a sense of how much – can you maybe book in the value of the property that's actually on the market and is there anything under contract for sale today?
Bruce Schanzer: On the disposition side, you're asking?
Todd Thomas: Yes.
Bruce Schanzer: So we have two assets for sale, one of them is under contract, one of them we're finalizing the bidding process now. So I'm reluctant to discuss the valuation of the one that we're finalizing the bidding on now, I could tell you that the assets under contract is a $15 million sales price. So the vast majority of the value is in the other assets.
Todd Thomas: And then assuming that the two acquisitions and the dispositions close as anticipated, how does that improve the Company's footprint? I am thinking about the four quartiles of the portfolio that you've discussed and broken out before. May be how much NOI would be derived from the top two quartiles, maybe or is there another way to think about how these transactions shift or augment the view of the portfolio?
Bruce Schanzer: So what I would – I would guide you to a couple of thoughts. I don't know – I think it's a little bit too soon to talk about the contribution of the different quartiles because again, what's going to happen immediately after we close on the two sales and close on the two purchases is that we're going to be sitting on cash, right? So until we redeploy that cash theory [ph] we won't have maximized the NOI off of our capital base. Once we do that, I would expect that you'll see in a greater proportion of the NOI coming out of our top quartile assets. In terms of the characteristics of what we're selling and what we're buying, I would guide you to, broadly speaking two ideas. So, of course, we have identified the location and the market for the two assets we're buying, they're both in Washington DC. So when you think about from a capital migration perspective, we're moving our capital into the DC market. The assets we're selling are both in Pennsylvania and outside of Philadelphia. So they're both in markets in which we have a fair amount of geographic concentration that we're trying to reduce. From a grocer perspective, both of the assets we're selling are Ahold anchor centers and we're migrating the capital into centers that don't have Ahold as a grocer anchor. So again from a credit exposure perspective, and geographic concentration perspective, we're furthering our interests when we think about portfolio management in terms of checking two boxes that we're looking to check in any round trip capital migration transaction that we pursue.
Todd Thomas: And then just lastly on the Rite Aid and Walgreens transaction. You mentioned re-tenanting some of that space perhaps, if the deal goes through, would you anticipate any closures? Are there any at-risk locations in the portfolio where that there's significant overlap today?
Nancy Mozzachio: We did the same exercise, Todd, that we performed when the Ahold, Delhaize merger – acquisition was announced. And what we do is we take each individual location with all the banners go up several miles, in some cases with some of the Rite Aids that we have at 20 miles before you find a competitor like a Walgreen. You need a break down as to Walgreens, five Rite Aids in our portfolio and [indiscernible]. So there's one particular that I've focused on when I was writing my comments and it's a Rite Aid that's in – an asset that's in line and it's an asset that we've contemplated for the long-haul to redevelop. And so this does provide an opportunity for us to possibly even take Rite Aid out and put them on the asset or somewhere else or to let them go and retenant. As far as proximity with stores, so we have two Walgreens and there are Rite Aids relatively close, but what's interesting is the two Walgreens are in very, very dense markets. So that is the type of the market we have, drug stores on every corner. So we don't see any kind of risk there [indiscernible] and our center in Long Island that actually is the closure that getting the fact for a little while. And so it is in untapped location and we've had a lot of activity on that space, they're continuing to pay rents and are obligated to do it. So we've talked about termination with them. It's got to be the right situation for us. I think overall, we see all that – there's been very few closures, but where there's a possible closure, we think that it is an opportunity for us to do something within the asset and rent pick up for sure. Rent pick up, and as I mentioned in the comment, credit pick up as well favored us there.
Operator: Thank you. There are no other questions at this time, I would now like to turn the call back over to Bruce Schanzer for any closing comments.
Bruce Schanzer: Thank you all for joining us this evening. We look forward to seeing many of you at Nyeri [ph] later this month.